Gerardo Lozoya: Good morning, everyone, and welcome to Alsea's First Quarter 2025 Earnings Video Conference. My name is Gerardo Lozoya, Head of Investor Relations and Corporate Affairs. And today, our Chief Executive Officer, Armando Torrado; our Chief Financial Officer Federico Rodríguez; and our upcoming Chief Executive Officer, Christian Gurria will be presenting the results. Before we continue, a friendly reminder that some of our comments today will contain forward-looking statements, based on our current view of our business and that future results may differ materially from these statements. Today's call should be considered in conjunction, with disclaimers in our earnings release and our most recent Bolsa Mexicana de Valores report. The company is not obligated to update or revise any such forward-looking statements. Please note that, unless specified otherwise the earnings numbers referred to are based on pre-IFRS 16 standards. [Audio Gap]...for his initial remarks. Please go ahead, Armando.
Armando Torrado: Thank you. Thank you, Gerardo, and good morning, everyone. Welcome to Alsea's First Quarter 2025 Earnings Video Conference. I would like to begin by thanking our team stakeholders for their continued commitments, as we set our priorities for the year ahead. Before going into our quarterly information, I want to give a warm welcome to Christian Gurria that is here with us. And this will be my last CEO call, as a CEO of Alsea. Christian will be present and he will present his strategy priorities as the new CEO in the next earnings call in July. Today, I will provide an overview of our quarter performance, covering our financial results regional highlights and key brand developments. I will also highlight our progress on our digital transformation ESG initiatives and expansion strategy. Before diving into the highlights and previously announced, I'm pleased to share that, we signed a strategic agreement with Chipotle Mexican Grill to launch the brand in Mexico. The first locations are expected to open in early 2026. This partnership strength our portfolio, with a high potential concept and aligns with our long-term growth strategy. Chipotle offers a fast casual dining experience centered on a customized and fresh high-quality ingredients, providing a different concept. To begin, let me give you some highlights from this quarter. In the first quarter, we reported a 12.8% year-over-year increase in total sales, reaching MXN20 billion, or a 7% increase when excluding foreign exchange effects. Same-store sales grew by 5.1%. EBITDA decreased by 9.1% in the first quarter reaching MXN2.3 billion, with a margin of 11.7%. This decline was primarily driven by negative calendar effect the depreciation of the Mexican peso and three-week labor disruptions in Chile and persistent macroeconomic pressures. In the context and with a long-term perspective, we maintain cautious approach to pricing in environment on elevated input costs as we remain focused on driving traffic, while sustaining brand competitiveness and customer preference. We served over almost 34 million digital orders in the quarter amounting for MXN 7.4 billion which accounted for 38.7% of our total sales. This performance confirms the continued effective transactions of our digital strategy. Regarding our brand performance in the quarter, Starbucks Alsea, same-store sales increased by 4.7%. For Starbucks Mexico, same-store sales increased by 3.5%, mainly driven by a loyal customer base and solid in-store performance despite a negative calendar effect and more cautious consumer backdrop. For Starbucks Europe, same-store sales declined 2.2% as we continue progressing towards traffic recovery following last year's boycott in France. There's early signs of improvement and emerging. This is supported by local initiatives and target commercial strategies and main at rebuilding consumer engagement. And finally in South America, same-store sales increased by 18.6% and decreased by 6.7%, excluding the effect of Argentina. In Domino's Pizza Alsea, we posted a 2.6% increase in same-store sales. In Mexico, Domino's Pizza same-store sales increased by 1.5%, supported by stable performance in the delivery channel, although, growth was moderated compared to prior periods due to the softer trends in the telephone ordering channel. In Spain, same-store sales increased by 2.4%, reflecting effective promotion strategies and solid customer response to product innovation, including our continued successful campaign of Croissantizzima. And in Colombia, Domino's delivered a strong result, achieving a 10.57% same-store sales growth, mainly driven by effective marketing campaigns such as Domino's Mania which contributed to higher volumes and strengthened our brand momentum. Burger King Alsea same-store sales grew in Argentina decreased by 4.8%. In Mexico, we reported a same-store sales contraction of 7.8%. This contraction was driven by a slowdown in delivery and in our premium offerings. However, we expect digital kiosks and more efficient promotions to support future growth. The Full-Service Restaurant segment delivered a 3.4% growth in same-store sales. This segment continues to deliver resilient results, posting mid-single-digit same-store sales growth consistently over the past three years, reflecting the strength of our value proposition and operational excellence across key brands. Vips Mexico achieved a solid 2.8% year-over-year growth in same-store sales, fueled by strong guest response to new menu offerings and consistent store execution. That reinforced the brand's value proposition. In Mexico, most of the Full-Service Restaurant brands had good performance with mid-single-digit growth in same-store sales. And in Spain, Vips and Ginos reported a solid same-store sales growth of 3.5% and 2.2%, respectively. Our global expansion strategy remains focused on capturing the most profitable opportunities across our key markets. In line with our guidance, we opened 34 new stores during the first quarter, including 27 corporate units and seven franchisees, especially targeting high-traffic areas. We expect openings to accelerate as the year progresses. As part of this strategy, we are expanding into flagship locations such as our upcoming Starbucks store in the Santiago Bernabéu shopping mall in Madrid, which underscores our commitment to long-term brand position and strategic growth. Along, with our expansion in high-potential regions, we are also remodeling existing locations to enhance customer experience and drive growth. Regarding our loyalty programs, our digital transformation continued to fuel growth. By the end of the quarter, loyalty sales grew by 21.6%, reaching MXN 5.2 billion, accounting for 25.3 million orders and contributing to 27.4% of total sales. Additionally, by the end of the first quarter, Club Buy had surpassed 3.1 million members, which represents almost 7% of Spain's population, while Starbucks Rewards reached over 2.3 million active users across all Alsea's regions. Regarding ESG and people, this quarter we continued advancing in our ESG and digital transformation agenda, reaffirming our commitment to sustainable value creation through transparency, innovation, and social responsibility. As part of this effort, we are currently working on our 2024 integrated annual report, set to publish later today. For the second time, this report will include a double materiality assessment, a biennial evaluation of how ESG factors impacting our financial performance and how our operations impact the communities and environments where we operate. This approach allow us to identify the ESG priorities, most valued by our stakeholders and the long-term sustainability in our business. In line with this commitment, we invested over MXN13 million in social programs this quarter and directly benefit more than 80,000 people that it demonstrates our ongoing dedication to that community, while delivering a meaningful social impact. Looking ahead, we will continue to align our ESG and digital priorities with our long-term strategy goals, ensuring a responsible and innovation path forward for Alsea and our stakeholders. I would like to hand it right now to Federico Rodríguez.
Federico Rodríguez: Thank you very much, Armando. Good morning, everyone. Sales increased by 12.8% in the first quarter, driven by the preference for the company's brands and the effective commercial strategies in Mexico, Spain and Colombia. Excluding foreign exchange effects, sales increased 7%. We remain firmly committed to the 2025 guidance, we provided earlier this year and we believe we are making good progress toward achieving it supported by the disciplined execution. Despite being repetitive both negative calendar effects Easter and the leap year were included into our 2025 guidance. For the first quarter, sales in Mexico were up 5.9% to MXN10.7 billion. In Europe, sales increased by 17.3% to MXN5.9 billion, while in euro terms sales decreased by 5.3%. Finally, South America sales increased by 32% to MXN3.3 billion. EBITDA decreased by 9.1% with a margin contraction of 280 basis points, reflecting a more complex macroeconomic backdrop and a negative calendar effect including one less day in February and the shift of Easter from March to April. In Mexico, adjusted EBITDA represented 67% of total EBITDA and declined by 7.2%, primarily due to the depreciation of the Mexican peso and inflationary pressure on dollar-denominated inputs both impacting gross margin by approximately 100 basis points each. Additionally, the 2.5% growth in same-store sales was not enough to continue to improve operating leverage. In Europe, the adjusted EBITDA accounted for 22% of the total EBITDA and grew 3.6% year-over-year, supported by positive same-store sales and stable performance across key markets. However, a negative calendar effect weighted on margins resulting in a year-over-year contraction when excluding it’s FX. In South America, adjusted EBITDA represented 11% of the total EBITDA and declined by 10.5% mainly due to the three-week labor disruption in Chile, negative calendar effect in all the regions and softer consumer trends across the region despite the solid performance in Colombia. The net income for the first quarter decreased 23.9% year-over-year to MXN335 million. These results reflect a lower financial impact compared to the same period last year, mainly driven by the loss of treasury position in Argentina in 2024. Going to the CapEx. The CapEx for the first quarter totaled MXN1.1 billion. 64% were allocated to store development initiatives, including the opening of 13 new units, the renovation and remodeling of existing locations and equipment replacement across the brands. The remaining 36% was directed to strategic projects focused on technology upgrades, process improvements and software licenses, reinforcing our long-term competitiveness and operational efficiency. At the end of the first quarter, our pre-IFRS 16 gross debt increased by MXN6.2 billion year-over-year, reaching MXN34.3 billion. This increase is related with the postponed payment of the remaining minority stake in our European operations that we acquired in the first quarter of 2024. The net debt excluding the IFRS 16 effect totaled MXN30.2 billion up MXN7.6 billion compared to the same period last year. Including lease liabilities, consolidated net debt reached MXN48.6 billion. At the end of the quarter, 86% of the debt was long-term with 64% denominated in Mexican pesos and 36% in euros. We remain focused on maintaining a healthy capital structure supported by prudent financial management and a strong commitment to meeting all obligations. At the end of the quarter, our cash position stood at MXN4.1 billion. Turning to financial ratios. The total debt to post-IFRS 16 EBITDA ratio closed the quarter at 3.1 times while the net debt-to-EBITDA ratio stood at 2.9 times. As expected and mentioned in previous calls for this time of the year, there was a high use of cash during the first quarter, reflecting the typical seasonality of the business and the temporary use of working capital. We anticipate a gradual recovery in working capital over the second half of the year as it is every year. I will now pass you over to the operator for the Q&A session. Thank you very much.
Operator: We will now start the Q&A session. [Operator Instructions] The first question is from Mr. Alejandro Fuchs from Itaú BBA. Please go ahead.
Alejandro Fuchs: Hola Armando, Christian, Federico, Gerardo. Thank you for the space for questions. First of all, thank you, Armando for always being very close to the market and always providing very detailed and helpful insight and welcome Christian. I have two quick questions if I may. My first one would be on the guidance you provided for 2025, I think that the macro reality today has shifted a little bit right in Mexico. So, profitability is coming somewhat softer too. So, how should we think about confidence level of meeting the guidance for 2025? That will be the first one. And the second one more strategical about Chipotle, the announcement, right? I wanted to see if maybe you can provide a little bit more detail about how the MFA with Chipotle is maybe royalties to pay, the timeframe openings and so on, and how much of the market -- in Mexico, you think how many stores is good for? So, that will be the two ones. Thank you.
Federico Rodríguez: Regarding the guidance, Alejandro, we are still committed. In fact I would say that the contraction of margin regarding EBITDA, it was considered into our guidance. As you remember, we have a top line guidance with a low teens. We are there. And regarding EBITDA, a growth of mid-single-digit. Obviously, that represents a margin contraction. We had two negative effect regarding calendar in the first quarter this year, it was considered. Obviously, we will do the catch-up in the next three years and the Easter going from March to April. So, we are having that catch-up in the same-store sales figures that we are having in April. In fact, we are having a high-single-digit regarding same-store sales, a really good figure. But the only part that it was not into the guidance what the disruption labor, the labor disruption in Chile, which accounts for around MXN60 million. I am truly not worried. I think that we can offset this in the remaining part of the year. And being repeated, we are committed with the guidance.
Armando Torrado: And gracias Alejandro. I mean Chipotle, we've been having a lot of calls in the last two weeks. I mean this is about introducing really a modern and very successful fast casual restaurant concept that really is more emphasizing high-quality proteins, fresh ingredients, classic culinary techniques, and of course, digital and a lot of transparency. This is a unique value proposition that there is not in Mexico. This is -- always relies in real fresh food, nutrition ingredients. And this also responds for the process of how we do all the kitchen process and the customer, the food that is being prepared. And they speak all the concerns about pricing and where we're going to put the pricing. I think Chipotle will really offer a very competitive price point knowing that we are going to adjust to the local market conditions without any way compromising the brand experience and targeting the kind of customers who are value nutrition. They like their origin these young people and we have speed here too. So I think the menu that this concept has, it has, of course. very familiar ingredients for the Mexican Carnitas, Barbacoa, avocado among others designs things that they do. We are not competing with the tacos [indiscernible], a lot of people just said in some papers last week about it. This is a healthy and convenient option. We will launch this with Alshaya, like I said probably in the first quarter of 2026. We like, of course, I mean to build a robust scalable and sustainable business. We will see in the first stores that we open how capable we will be in market holding capacity. But I have no doubt with the merger with them and us that operational efficiency, the digital convenience that we have and the brand promises it will be great. As you know this concept is already in Alshaya that we have a big relation with Alshaya and the numbers that we've been seeing in those markets are really incredible. So I think this also this measure -- this is a strategy of the pillars that we set. We found and we go with pillars that have really scale size. And I think that we will be seeing that in the first quarter. Of course, regarding MFAs and all details, this is a confident information that I cannot give you. But I mean, I'm very delightful to have this great concept and brand in our portfolio.
Alejandro Fuchs: Very clear. Thank you, Armando and Federico.
Operator: Thank you very much for your question. Our next question is from Tiago Harduim from Citi. Please go ahead.
Tiago Harduim: Fantastic. Good morning, Armando, Christian, Federico, Gerardo. Thank you very much for taking my questions. I would like to first continue discussing Chipotle. This is a very interesting subject and I think we have a lot -- we have very -- a lot of ground here to cover. But if we look at the Chipotle business, right, and what's coming in for Alsea, I was wondering if we would have any synergies with the other business operates, right, either in supply chain or maybe commodity cost overlap understand maybe we could get some synergies with retailer purchasing whatever additional information could be very interesting for us. And the second question, looking into same-store sales for Mexico. In the initial remarks we got a breakdown for the main brands, right? Just wondering if we could maybe discuss a little bit the breakdown between traffic and ticket for the same-store sales for the brands? And also, if we could maybe discuss a little bit of what's going on in April, right, whatever additional information we could see -- we could get from you would be very interesting, especially because we have the shift in Easter right to the second quarter. So maybe whatever we could get of additional information here would be fantastic. Thank you very much.
Armando Torrado: Gracias Tiago. Thank you. I mean of course, synergies -- I mean a lot of synergies. I mean since we've been talking with the Chipotle team since probably some years, some years, I would say, years that we've been talking to them. But the last really year that we set in the table, especially of course, supply chain in all supply chain we are -- almost all the food cost all the materials, raw materials, quality raw materials that they have because we produce some we have some, we commercialize some. So there is a big, big opportunity there. A lot of products that they buy, they buy here in Mexico, avocado and other things. So for us that is the DNA. So that's a big one. The other one-off of, course, is in digital. They are -- that concept in the US is the strength of the digital evolution is impressive. And we already have, as you said, we've been -- since I am here, four, three years ago, I've been really dedicating a lot of digital transformation. So we will keep that capability. And I think we will learn a lot from like them to introduce it to Alsea. There's also things in real estate for sure. There's some real estate that we can evolve. Of course, regarding people, we have an amazing team in operational leadership that they already raised their hands to be part of this journey. So I think, it's a 360 whatever we can give to these brands. So -- and then a well DNA match with operator that we like to talk with operators on this, I think it is a fantastic, fantastic team all over in California that manage this great concept. Regarding April, I'm very thrilled to tell you that things are doing for us very well in April, I mean comparison with that. We are -- I mean in Domino's Pizza, we have double low-single digit and very, very well done in Spain. Mexico is also growing. I will let you know that from Starbucks also the same. We are single mid-digit, high-single digits. For first time, France is -- it's positive in April. Now the Netherlands is positive in April. And then the casual business division like I said, the casual -- the Full-Service Restaurant division, it's also with suppressive numbers. This week is going to be one of the greatest week in Mexico too. A lot of things are going on 1st of May [indiscernible], El Nino everything is going well. So I'm very positive about April. I think I mean we already know what -- I mean we had that increase of the coffee. We already have it in February. We already took some decisions for the next quarter -- I mean for this quarter. So I think, our margin will be in the guidance like Federico said. And this calendar, in this business, for the first quarter, it was really a big effect that we suffered. But the guidance that was still there is very good going right now. So that's a little bit the comment.
Federico Rodríguez: And regarding the split for the same-store sales in the month of April, we have only four weeks out of the 13 weeks of the second quarter, Tiago. Let's be really cautious around this. As you know, we do not disclose, but we have positive figures in transactions around 30% to 40% of the total same-store sales. In Mexico the only exception is Burger King unfortunately and it was the same pace in the first quarter. As we have mentioned more than once we want to preserve traffic. We are more interested in the long term. We can save one quarter trying to do a whole pass-through of the price to the final ticket, but we are more interested in taking care of the long term because maybe in one year we will have positive figures in all the different business units. Thank you very much.
Tiago Harduim: This is fantastic. Thank you.
Operator: Tank you very much for your question. Our next question is from Mr. Bob Ford from Bank of America. Please go ahead.
Bob Ford: Good morning everybody. Thanks for taking my question. Federico, would you mind outlining the larger contributors to your integral cost of financing lines outside the interest on debt? There appears to be some derivatives or other contributors which are not entirely intuitive and difficult to forecast. And then my other question was...
Federico Rodríguez: Sorry, can you speak a little bit louder? Can you repeat the question regarding the cost of financing, sorry.
Bob Ford: Apologies. It was whether or not -- if you could just outline the larger contributors to the integral cost of financing outside interest on debt. There appear to be some derivatives there that aren't entirely intuitive and difficult to forecast. And the other question I had was with respect to Burger King, Mexico. And we're hearing that you may be considering a larger relationship. And I was just curious, what terms would you need to reconsider an MFA relationship with RBI?
Federico Rodríguez: Regarding the cost of financing, sorry Bob, I still did not hear you. If you can repeat it. Regarding MFA for Burger King, I don't know if you want to...
Armando Martinez: No, I mean, there is -- we don't have any -- right now any conversations regarding an MFA in Mexico, the corporation was here with us in March as CEO for RBI. And actually I think, we strength our relation with them in a very good terms, but that doesn't mean that we are looking or they are looking to do an MFA deal here in Mexico. No that's not in the table right now.
Federico Rodríguez: Regarding cost of financing Bob, I'm sorry, I didn't -- if I didn't understand. We only have the current trading regarding financing the interest increase that we are figuring out in this quarter is because we took more debt -- to pay the postponed payment with the minority shareholders of €90 million. We paid €50 million in the last quarter of 2024 and €40 million in this third quarter. So we took that debt and that's provoking the increase in the cost of financing. We can do a follow-up if you want later so we can understand the whole question. Sorry.
Bob Ford: That would be very helpful. Thank you, Federico.
Federico Rodríguez: Thank you. Bob.
Operator: Thank you very much for you question. Our next question is from Mr. Alvaro Garcia from BTG Pactual. Please go ahead.
Federico Rodríguez: [indiscernible], Alvaro. Are you there?
Alvaro Garcia: Okay. Yes.
Federico Rodríguez: Yeah?
Alvaro Garcia: A couple of questions. First off all, the best Armando going forward. Welcome Christian. First question on Chipotle. I was wondering if you could maybe break out in terms of geographies what you're thinking of - what geographies make most sense in Mexico within Mexico. And you mentioned pricing how you're thinking about pricing? I know fast casual is nascent in Mexico but how you're thinking about pricing in Mexico and the opportunity to let's say move lower there would be interesting. And then my second question is for Christian on Starbucks in France. You guys were pretty clear about really not seeing a full-fledged recovery until 2026, but you've mentioned better results in April. I was wondering how much is sort of how much of what we've seen is under your control? And how much is still an impact from the boycott and how you're feeling about that into the second half of 2025? And then one last question for Federico. Sorry for all the questions. On D&A on depreciation and amortization. Last quarter fourth quarter we saw sort of this negative D&A in Europe. And I was wondering if you could maybe expand on that and how you -- if you can maybe help us maybe full IFRS 16 or not how you're thinking about D&A into 2025? Thank you.
Armando Torrado: Gracias, Alvaro. Alvaro, we are regarding the region of course we are already have some three or four parts of Mexico that we want to develop this brand consistently in the information that we have regarding how the brand is known in some regions. Of course in the north part of the country that we are more aligned with Texas and other parts or probably California that brand studies makes sense or signs that there are more awareness of the brand. And there's also more awareness or in some parts of the north of the country regarding this type of QSR fast casual food. That's -- there is more penetration. So with the information that Alshaya has in the last 25 years to 30 years we are taking that decision with them regarding where it's going to be the best place to settle down first and start this journey. I think regarding price Chipotle offers a very solid value proposition. Like I said with these highly standards we are just -- we are already adjusting the model to local conditions really how can we going to price without compromising any brand experience. And of course how we value that nutrition origin and speed and how we are doing. The numbers that we have now regarding the pricing are very competitive very competitive to launch this brand. So we are very positive that we can capture and we can still some customers or stomach share for other competitors. This -- as you know and you've seen probably the numbers of CMH the delivery of this kind of food is just amazing. It travels very, very well. So that's a big competitive advantage also because if you've seen the whole three years that we've been here the incremental of delivery for us in the digital platform is amazing among the category with aggregators is not growing. So we've been growing ahead not also in Europe in Spain and South America, regarding the delivery. So we have a big potential over there.
Federico Rodríguez: Yes. I'm complementing Armando's answer regarding pricing Alvaro, and related to Tiago's question, we'll take advantage of the shared service platform and the scale of Mexico to deliver the most competitive pricing. We are not really worried around that. Christian do you want to answer regarding...
Christian Gurria: Thank you Federico. Good morning, Alvaro, and thank you for your question. Just as Armando shared a few minutes ago, we are seeing positive signs of recovery in France, due to two effects. The first one is of course there is a lower comparable base to last year 2024. Nevertheless in October 2024, we launched a very specific plan based on four pillars around young people, coffee partners and environmental and social initiatives, which we are seeing already how this plan is paying back. It's true that also we have – we expect a strong April, May, until August for sure. We have a smaller comparable base also due to the effect of the Olympic games and a recovery of tourism in France versus previous year. So we are optimistic on this side. And also it's important to mention that this recovery is going to continue being steady but slow toward the end of the year. But we are optimistic that we are seeing the signs of recovery.
Federico Rodríguez: And finally, Alvaro, what is behind the increase in D&A in Europe? We have standardized criteria in the last quarter of 2024 of all the leasing contracts across the different geographies to have a single one company-wide. We have different criteria. You have to understand that we have more than 5,000 different lease contracts, the post – IFRS 16 accounting rule. It was not pretty clear in 2018, when we implemented this accounting rule and we changed it. So this does not imply an increase in the rental expense. The rental expense pre-IFRS 16 the cash on cash is pretty much the same. We have obviously around 40% of variable rental contracts and the remaining 60% is totally fixed. This is an effect that we will have this year and you will see this quarter-over-quarter. But by the end of the day the cash on cash is pretty much the same. Obviously, we have inflation index contracts, et cetera and variable to the revenue of each one of the stores.
Alvaro Garcia: Great. Thank you very much.
Federico Rodríguez: Gracias, Alvaro.
Operator: Thank you very much for your question. Our next question is from Ms. Rahi Parikh from Barclays. Please go ahead.
Unidentified Analyst: I'm on for Ben [ph] as well from Barclays. So maybe are you able to [indiscernible] on performance in...
Armando Torrado : We cannot hear you, sorry. No, we cannot hear you.
Unidentified Analyst: Can you hear me now?
Armando Torrado : Yes.
Unidentified Analyst: Okay. Sorry I'm on for Ben at Barclays. So hopping on the last question are you able to add some more color on the sequential performance in Starbucks in France and Benelux, maybe same-store sales per month just to see the progression, if you guys are able to share that? And also on the second question, what – how do you see the raw material impact from FX and potential tariff risks? Any color on that would be helpful.
Federico Rodríguez: Well, regarding same-store sales for Starbucks in France, we are having a sequential improvement. Obviously, we have not reached the transaction that we had in October 2023, when the boycott started and obviously, all the reputational damage we suffer from there. But as Christian just mentioned and Armando too, we have positive figures during this second quarter not only because of the seasonality and the Easter going from March to April but because of the promotional campaigns, the bundles that we have launched, honestly, the situation should be equal in terms of transactions for mid-2026. That's the target that we are setting. We are delaying the pace of openings, but we are still opening instead of having 30 or 35 stores that was the target one year ago, we are having 10 to 15 stores, corporate one.
Armando Torrado: And regarding the price increase and whatever, we've been not having any impact related to this problem of the tariffs around the globe. I mean the tariffs for us are not really doing any incremental. Of course, regarding the coffee prices, coffee in high time highs. So yes, regarding coffee, that. But regarding the inflation in our countries, we are really okay with that. It's just the exchange rate of coffee, for example, and cheese, for example, that we buy in Mexico from other countries, right? But I think we already -- as you saw the Mexican peso now, it's because the exchange rate now, it's getting forward, I mean, good on coming things. So we are not seeing any problems regarding that issue of raw materials for the next periods.
Federico Rodríguez: Rahi complementing, it is important to mention that the strategy is really to focus on preserving traffic. Even while we have some FX problems during the first quarter, as Armando has just mentioned, the dollar is weaker right now. Remember that we had a MXN 20.8 per dollar for the -- as an average for the year. Right now, we are below MXN 20. That is helping us with all the raw materials coming from the states like the cheese and the coffee to talking around the two more relevant SKUs.
Unidentified Analyst: Okay. Awesome. Thank you so much.
Armando Torrado: Thank you.
Federico Rodríguez: Thank you.
Operator: Thank you very much for your question. Our next question is from Mr. Thiago Bortoluci from Goldman Sachs. Please go ahead.
Thiago Bortoluci: Hey, gentlemen. Good morning, everyone. Thanks for the opportunity of asking questions. Armando, in your previous answer, you alluded to coffee prices, right? Given all the remarks and this ongoing strategy of trying to protect traffic, right? I would just like to understand a bit better from you how those raw material prices could flow into profitability? And what is your strategy to try to mitigate it going forward and achieve your full year guidance? This is the first one. And then the second one, I think more strategically speaking, right? Since the pandemic, we saw being very tactical in simplifying the portfolio of stores, right? And still this year, we saw a few other operations. Now with Chipotle, is it fair to say that eventually, Alsea is now back into growth and growth, I'm saying not store expansion, but brands growth eventually considering adding new segments and new banners into your portfolio? Those are the questions.
Armando Torrado: Okay. Firstly and the first one is, it's important, I mean, to mention that our strategy is really focused like Federico said, and we always want to see this in the company and this is our language. Traffic is the name of the game and we want to preserve that. Yes, there has been increase in the coffee about 90%. We are not having a 90% -- sorry 90% increase in our SKUs in our numbers. As you know, Starbucks is who is the provider for the coffee for us around the world. But regarding them, they have a quite very good model of buying coffee in advance with -- so they are very quite specialized in how to do this buying around the world. So for us the 90% is not there. It's a lot lower. And we've been carefully analyzing where and how different strategies can go to marketing and improving communications and product innovation, and giving more items per order to our consumers to maintain the traffic. You've always been seeing me that, the last thing we want to do is touching, touching, touching price that is not something that Alsea strategy believes in. So we are there. And I mean, we are benefiting of course having hedges, like I said, for the local sourcing with Starbucks, and then before we -- they already know what our concerns regarding this and we are in a good manner talking to them regarding some other good alternatives for the long run regarding coffee. As you know, we don't toast, we don't do the toasting coffee in Mexico. So there's also opportunities there to lower cost in transportation logistics and in other things that I think Alsea has already in Mexico has already the volume to do so. The other question is very interesting regarding, of course, portfolio why you bring another brand. But I will tell you, first, I'm sure that, I want to of course next quarter to give you some news about other brands that are aligned to going out of our portfolio. As we already mentioned, we've been trying to do this really getting out of that and we have some rationalized portfolio. And we already have some transactions or some communication with some other third parties to do so. This part of -- there's two or three brands around the world that are top niche and this is one is one. Chipotle is one. This is a long run that is very capable with our pillar strategy. And this of course is going to start in Mexico, but I'm sure that, if we do the things right, and we have a good momentum and the brand is successful -- this brand can for sure runs and goes to another geography that Alsea managed, and it will be a great brand for our portfolio in the regions that we operate. So this is a long run decision and not a short one regarding the portfolio, but we are still very commitment to our cleaning our portfolio and investing in brands that we don't have any potential to grow, or are not the brands of today and they were the brands of 20 years ago right?
Federico Rodríguez: We have heard of the investor community Thiago, and we want to simplify and rationalize the portfolio. Having said, this Chipotle is a Tier 1 brand. It is one of the top three brands regarding restaurants all over the world. So we want to play with them. And additionally, it is not going to be CapEx intensive. It is going to be -- we want to replicate the story of Starbucks or Domino's Pizza starting with five stores in one year. As you know, we will open the first store in early 2026. So, let's be cautious around that. And regarding cost of food, additionally to what Armando said, we have more than 80% of the US dollar needs for all the commodities hedged by now. You know that we cannot hedge on the commodities the coffee or the cheese, but we can hedge on the dollars needs. So by the end of the day, you will not see that efficiency into the EBITDA margins. Well, for sure we are not having using more or burning more cash because of the dollar.
Thiago Bortoluci: That's great and makes sense. By the way Armando, thank you very much. It was a pleasure to work together with you. Congrats on the mandate and best of luck, going forward on your new journey. Thanks very much, everyone.
Armando Torrado: Thank you, Thiago.
Operator: Thank you very much for your question. That was the last question. I will now hand over to Mr. Christian Gurria for final comments.
Christian Gurria: Good morning again everyone, and thank you very much for joining this call today. Before we conclude, I would like to share with you that I am in the process of wrapping up my onboarding and in transition with Armando. So, I will be prepared to share and happy to share with you in our call in July, the vision and the priorities looking forward for Alsea. Thank you very much. I just hand over to Armando. Thank you Armando, again for this extraordinary journey and thank you very much.
Armando Torrado: Okay. So, thank you. Thank you all of you and this remarks my last earnings report, as the CEO. So thank you very much tag on all you guys, for always being of course, stay open and here you always want to have like always the doors open of this company. So thank you again, for the quarterly review. I'm confident, I'm leaving that this is going to be a great journey of course leaving this great company in great hands with Christian, who will continue to lead and drive success forward for the years coming. So, thank you and we see you now. Thank you.
Federico Rodríguez: Thank you very much.
Operator: Alsea would like to thank you for participating in today's video conference. You may now disconnect.